Operator: Ladies and gentlemen, thank you for joining us today. My name is Tyler. I will be your conference operator for this session. Welcome to Grab's Third Quarter 2025 Earnings Results Call. [Operator Instructions] I will now turn it over to Douglas Eu to start the call.
Douglas Eu: Good day, everyone, and welcome to Grab's Third Quarter Earnings Call. I'm Douglas Eu, Director, Investor Relations and Strategic Finance at Grab. And joining me today are Anthony Tan, Chief Executive Officer; Alex Hungate, President and Chief Operating Officer; and Peter Oey, Chief Financial Officer. During this call, we will be making forward-looking statements about future events including our future business and financial performance. These statements are based on our current beliefs and expectations. Actual results could differ materially due to a number of risks and uncertainties as described on this earnings call, in the earnings release, and in our Form 20-F and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. We will also be discussing non-IFRS financial measures on this call. These measures supplement, but do not replace IFRS financial measures. Please refer to the earnings materials for a reconciliation of non-IFRS to IFRS financial measures. For more information, please refer to our earnings press release, remarks and supplemental presentation available on our IR website. And with that, I will turn the call over to Anthony to deliver his opening remarks before we open it up for questions.
Ping Yeow Tan: Thank you so much, Doug. Really appreciate everyone being here with us. This quarter marks another vital step forward in our journey, not just in our financial performance, but in how we are building a more resilient tech-driven platform for the long term. Our growth was a key standout this quarter, accelerating to new records as product-led innovations drove nearly a 6 million year-over-year increase in monthly transacting users to 48 million. This fueled a 24% year-on-year increase in on-demand GMV or 20% on a constant currency basis. At the same time, we continue to maintain cost discipline and leverage our ecosystem scale to drive profitable growth. Group adjusted EBITDA rose 51% year-on-year to a new record of $136 million, marking our 15th consecutive quarter of sequential profitability improvement. Our adjusted free cash flow also improved by $185 million year-on-year to $283 million on a trailing 12-month basis. Now these achievements are the direct result of our consistent focus on improving accessibility, affordability and reliability. This has enabled us to continue growing earnings for our driver and merchant partners, while expanding our marketplace, bringing new users on the platform and deepening engagement and loyalty among our user base. As we head into the final stretch of 2025, we expect to exit the year on a high note. We remain on track for our financial services loan portfolio to exceed $1 billion and for full year on-demand GMV growth to accelerate from 2024 levels. As a result, both our Mobility and Delivery segments are well on track to exit the year at record GMV levels. With our teams executing with focus and AI unlocking new growth and efficiency frontiers at unprecedented speed, we are confident in our ability to drive sustainable long-term value for our users, partners and shareholders. With that, I'll now open the call for questions. Operator?
Operator: [Operator Instructions] And your first question comes from the line of Pang Vitt with Goldman Sachs.
Pang Vittayaamnuaykoon: Two questions for me. Number one, on the competitive landscape. Can you help us discuss some of the latest that you've seen on the competitive landscape, especially in Indonesia? You delivered a strong 24% year-on-year in your on-demand service overall. Wondering whether there's any color you can share for what is the growth you have achieved in Indonesia? And what have led to your strong outperformance versus peers? That's question number one. Question number two, can you discuss further on your latest update in guidance? What have led you to increase the guidance? And can you help us break down estimate by segment?
Alexander Charles Hungate: Alex here. Let me take your first question, and Peter will take the second question. On Indonesia, it's a key market for us. Our business continues to perform strongly there. It remains a very competitive market. But what we're seeing is that the product-led growth strategy that we've been talking about for the last few quarters is driving an increase in MTUs for both deliveries and mobility, particularly the affordability, strategy is bringing in a lot of GrabBike and GrabCar Saver users at the lower end of the pricing ladder. And at the top end, Indonesia still has a lot of wealthy customers, and we've launched GrabExecutive there for mobility, and there's a lot of domestic tourism and business travel, which is helping drive our high-value rides and our priority food delivery services. We're also growing GrabMart, which is helping to drive those elevated levels of the delivery at GMV growth that we're seeing. So overall, it's a reflection of microcosm of what we're doing across the group. I would say you can't see these in the numbers, but I can tell you that there's strong growth in Indonesia, and a strong sequential margin improvement as well. So we're very comfortable with what we're doing in terms of the market position and our penetration of the overall opportunity in Indonesia, which remains huge and something we continue to be excited about as we invest in that country.
Peter Oey: Pang, on your guidance question. Look, you've seen our numbers from Q1 to Q3, how we've been performing. And we're continuing to have that consecutive quarter-on-quarter growth in our EBITDA guidance, and part of that is the top line growth that you're seeing in the business that Alex just talked about. You've got that nice momentum in our deliveries business, growing at 26% clip. You've got our mobility business also growing at 20%. So -- and let's not forget also our financial service is growing at 40% revenue and our loan book continues to hit all-time high. So you've got nice momentum just overall from the top line side. But also at the same time, we continue to be very disciplined on our cost structure. You see our regional corporate costs increasing only 8% on a year-over-year basis. But what's more important now that we're seeing about 150 basis points improvement in operating leverage as a percentage of revenue of our regional corporate costs. And that gets critical as we continue to make sure that we're spending in the right areas. So we expect the strong top line growth to continue into the quarter where fourth quarter is usually our strongest quarter, and we're on track to make sure that we deliver all the things that Alex mentioned about affordability, reliability, accessibility. And so with that, we are more confident in raising our EBITDA guidance to the $490 million and $500 million for the full year 2025. I do want to caveat that as we enter into Q1, which is around the corner for us, it's one of our more softer season, which is really very traditional for us. So -- but we do expect to maintain that profitable growth going into 2026.
Operator: Your next question comes from the line of Alicia Yap with Citigroup.
Alicis a Yap: Congratulations on the solid set of results. Two questions. First, could you elaborate a little bit on your MTU growth? Have you seen any major differentiations in terms of the user profile you added this quarter compared to last few quarters. For example, is that more female this quarter, any more of the younger generations or any like the second or the lower-tier cities that contributed to the bigger additions of the new user this quarter? So any metrics that you could share would be helpful. And then second question is, given the successful conversions of the product-led innovations to drive the order growth and also the higher frequency per user as well as your explorations into the GrabMart and also the grocery business, so following few quarters of the accelerated GMV growth for your delivery business, how should we be thinking about the growth rate for the fourth quarter this year and also into 2026? Should the growth rate be normalizing around maybe mid- to high teens or would that be possible to stay above the 20% growth for 2026? And then if you are able to grow faster than the high teens or even 20% mark, would that mean your margins expansion will be more gradual or even potentially see margin flattish or declining for next year?
Alexander Charles Hungate: Thanks, Alicia, for those questions. Let me take those 2. So MTU growth, as you saw, on-demand MTUs grew 14% year-on-year. In fact, DTUs grew even faster. So our daily transaction are growing faster than our monthly transactions. So we are succeeding in our goal of being part of the daily lives of Southeast Asian. On demand transactions, the actual transactions grew 27%. So you can clearly see that increase in frequency effect as well. And this is very much part of our strategy for driving the flywheel of increased demand, increased supply, improved quality of services and driving further demand after that. In terms of the demographics, Saver deliveries obviously have been instrumental in acquiring new users, growing frequency as well over the past few quarters. So almost 1/3 of our deliveries MTUs, joining the platform, the new MTUs are coming through Saver deliveries. So that's an important driver of the flywheel again this quarter. It's similar for transport, where we see GrabBike Saver and GrabCar Saver also bringing in a lot of MTUs. At the same time, as I mentioned earlier, when I was answering Pang's question, the high-value services are also growing fast. So high-value rides grew 66% year-on-year. And then priority delivery is also growing fast. So we're seeing growth at both ends of the pricing ladder, which is healthy. But the critical thing is that we're also being successful in cross-selling and retaining these new users to build long-term value -- long-term customer value. So what you can see overall, if you look at the GMV per MTU, so despite the strong growth in MTUs, the GMV spend per MTU grew 7% year-on-year. So I think that shows that your affordability strategy is both bringing in new customers, but also with our cross-sell is allowing us to deepen the value for each of those customers. So this growth effect is distributed both across big and small cities, you asked about that. But I would say that it skews to younger customers for the Saver products. But it does show that our product-led flywheel for deliveries and mobility is spinning faster and faster. And then your next question about growth rates going forward. We still feel that the -- our MTU penetration of Southeast Asia is low, when you consider the size of the population and the growing spending power. So when you look at what's driving these elevated growth levels in the last three quarters where we've managed to accelerate quarter after quarter, you can see that there are three elements, which I feel are all sustainable going forward. One is the product-led viral growth. Without increasing consumer incentives, we're able with group orders and family accounts to bring in new users, so the ecosystem is self-generating and bringing in new users on its own. We've also got this very strong GU base, GrabUnlimited is the biggest subscription program, paid subscription program in Southeast Asia. The users grew again 14% year-on-year to another all-time high. So they now represent over 20% of our delivery MTU base. This is also a sustainable driver of future growth. And then we have this adjacent GrabMart opportunity where now we have this functionality called GrabMore where a food user can just add on a grocery order to the food delivery that they're about to receive, proving to be very popular, and that will allow us to penetrate more and more of our large food base so that we can keep GrabMart growing. It's already growing at 1.5x the size of food, but we think there's potential to increase that penetration. In terms of the margin impact, we will be disciplined in driving sustainable growth, but also focusing on the absolute EBITDA growth. If you look at the margins this quarter, in fact, they've improved both for mobilities and for deliveries. As we've said in prior quarters, sometimes we'll launch new products and we'll promote those new products, and that will mean margins dip down. But overall, you can see that the margins this quarter have recovered to the average levels for the year. So there's no change in our margin outlook that we stated for the longer term. We still expect to get deliverers to 4% plus and mobility to 9% plus. So we believe we can do this while not sacrificing growth. As you heard earlier, we expect fourth quarter on-demand GMV to grow sequentially from the third quarter. So we will exit 2025 at record GMV levels and make a healthy entry into 2026. And we do expect margins for deliveries to continue to grow from these levels into next year even while we invest into new product initiatives and the grocery growth where we're seeing stronger and stronger traction.
Operator: Your next question comes from the line of Navin Killa with UBS.
Navin Killa: I had a couple of questions. One is with regards to your balance sheet. Obviously, strong cash balance, you raised the CBs earlier this year, and the business continues to be free cash flow positive. So how should we think about the use of this cash going into the next 12 to 18 months? And then secondly, in the context of some of the growth conversations that we have had, just wanted to understand how you are seeing the macro environment. And I mean, if you were to split this growth for this year between, let's say, macro market share gains and the impact of some of these initiatives that you've launched around new products, how would you qualitatively think of these three factors driving the growth?
Peter Oey: Navin, it's Peter here. Let me kick it off with your first question around capital allocation, and I'll ask Anthony to chime in around the macro -- your question about macro. On the capital allocation framework, no change in terms of how we're thinking about it. And we've always been -- our focus as always on three pillars. The first 1 is around investing for organic growth. And you're seeing that in the business, the profitability of our business and the growth that you're seeing, and some of that came from also some product adjacencies and tuck-ins that we've done as part of that profitable growth that you're seeing. But the organic growth has been really critical. One way that we've been deploying the balance sheet is on our loan book. If you look at the loan dispersal for Q3, for an example, we hit roughly $3.5 billion on an annualized basis on that dispersal. So Q3 alone was up roughly about 56% on a year-over-year. And that's a majority of that is on our balance sheet itself. So it's a great use of capital for us. It yields a higher rate of return. Actually, it returns above our average cost of capital for us, and we'll continue to use that balance sheet as we recycle those loans. That's just one example in terms of organic. We're also obviously deploying some of those capital in terms of investing in terms of new products that we're earmarking for 2026. On the second pillar is around what we call very highly selective M&A, which are more opportunistic and those are a lot more where it's more speculative also. But those have a very high bar, as you know, and we've always talked about this. But where we have been investing in some of the longer-term bet that we're looking at for things such as autonomous vehicles. And we've deployed some of those capital in making in those critical investments that we're leaning into. You've seen the announcement that we made with WeRide for an example, May Mobility as part of our strategic pillar in terms of making sure that we are the pioneer and we're leaning in, in terms of autonomous vehicles deployment here in Southeast Asia. But overall, as a framework that M&A is a very high bar for us, and we want to make sure that the synergies that we can extract is of a greater value. And then third, where there's excess capital, Navin, we'll obviously look at returning it to our shareholders. So those remain critical. Those three things that we believe in the recent capital raise that it will give us strategic flexibility in the interest of our investors. We'll continue to look at and explore those longer-term growth that Alex mentioned and how do we create the best value for our shareholders. But we are always, always prudent in terms of how we are managing our capital and our balance sheet. So hopefully, that answers the question. Anthony, on the macro?
Ping Yeow Tan: Thanks, Peter. And thanks, Navin, for a really good question, especially on the macro environment. So look, in Southeast Asia, there's been a lot of positive focus recently. As many of you are aware, Malaysia hosted the ASEAN Summit earlier this week, and President Trump visited a region to finalize trade negotiations with several of the Southeast Asian countries. I want to call out was the peace agreement between Thailand and Cambodia. These have been two very significant and positive events for the region, and we are seeing signs of tourism recovery in Thailand as the country heads into its seasonally strongest quarter of the year. Now to, Navin, your second part of your question, are we seeing weakness in consumption? The short answer is no. Our platform is proving to be highly resilient. We're not seeing a broad-based slowdown. In fact, our motto is built for this exact environment point to two key reasons. One, our strategy is countercyclical. The uncertainty in many ways actually accelerates our flywheel. We are seeing a healthy increase in partners coming into our gig platform to find income. And that, of course, improves supply. This also enables us to reduce wait times and enhance reliability and most importantly, it lowers prices for our users, which our users really appreciate. This increases our affordability and grows the overall user base, as you saw in our numbers, which is our key strength. Also, our focus on affordability is paying off. So this isn't new. Our focus on affordability, which we began in 2023, with products like Saver delivery, Saver transport, that was explicitly designed for this purpose. These services are now essential for users, enabling them to manage their wallets effectively. So this makes us a must-have service not a nice to have, which protects us from a pullback in discretionary spending. Look, but the reality is we may not be immune to macro trends, but our strategy is designed to be resilient and even opportunistic in this landscape. So we continue to reinforce this by partnering with governments as well. For instance, in Indonesia, we've been running what we call the Kota Masa Depan, which is a future cities program in partnership with the Ministry of Micro, Small, and Medium Enterprises, where we have worked to support small businesses and digital upscaling across nearly 20 cities. And in Vietnam, our AV launch is really to design to drive better NPS and also lower partners costs. These on-site projects, they strengthen our ecosystem and create a more sustainable, profitable business for the long term. So we are confident in our strategy and our outlook.
Operator: Your next question comes from the line of Venugopal Garre with Bernstein.
Venugopal Garre: Two questions for me. First question is more something that you discussed earlier in the call about the GrabMart business, the grocery business, which is outpacing the growth of full delivery. I wanted to really understand in terms of regions that are driving that growth for you, especially geographic regions and more importantly, I want to understand what are those big initiatives that you would need to incrementally take to make this a much, much larger segment? The reason I'm asking this is because grocery on an absolute basis is perhaps still relatively smaller in terms of penetration compared to the overall TAM that is there in the region. So newer models like with commerce, any thoughts around -- any change in landscape around the models that you might use to really scale up this business? That's the first question. The second one is more of a follow-up on the investment side of question that was discussed. I wanted to understand the investments that you have done in the autonomous tech company. This is largely to secure tech, or is it more in the nature of financial investment? And more importantly, could you also outline the current progress with respect to the rollout on autonomous.
Alexander Charles Hungate: Thanks, Venu. This is Alex. Let me take the first question. I think Anthony will take the question about AVs. So you're right. Our deliveries -- our groceries business, GrabMart, is relatively small compared to the rest of deliveries. It's only about 10% of deliveries GMV today. So it's very small compared to the TAM that you correctly identified is out there. We are seeing GrabMart grow across all markets. And one of the drivers for that is the rollout of GrabMore, this capability that allows customers to add groceries to their food orders for the same delivery cost, proving to be very, very powerful for cross-sell into groceries. So GrabMart continues to outperform, growing 1.5x faster than food delivery segment. And we've also seen that the users of both food and mart demonstrate order frequencies that are 1.8x higher than food-only users. So we know that it's a great driver of stickiness and loyalty and long-term value. In terms of the various business models, we are experimenting about -- with some of the newer business models that would open up more TAM for us. So in Malaysia, where we have Jaya, we are experimenting with quick commerce around certain Jaya stores where we can really sweat the inventory and store assets. So without increasing our fixed cost, we're able to drive up the volume of orders quite significantly. Even though the experiments there are primarily grocery focused, but we have seen a nice step-up in demand when quick delivery is an option for customers. So I think there's something to build on there, and we've started to experiment in 1 or 2 other countries as well like Indonesia, where we work very closely with certain partners. So yes, I think watch this space, very early days for us. Grocery focus, but we are definitely exploring new models which can help us unlock future large TAM. Now Anthony, on AVs.
Ping Yeow Tan: Yes. Thank you, Venugopal. Let me talk about the plans and our strategy regards to AVs. Now our recent AV investments are all very deliberate. It's part of our long-term strategy to lead the adoption of AV and remote driving across Southeast Asia and to secure the technology supply chain through strategic partnerships. While AVs are already a reality in parts of the world, we expect a longer ramp-up to mainstream adoption in Southeast Asia for a few reasons. One, Southeast Asia is still behind in the cost curve. Labor costs in Southeast Asia are significantly lower compared to the U.S. with Singapore being an exception. Now we believe, therefore, it will require considerable time for the unit economics to reach parity with human drivers. Second, the crossover point will occur when AVs become safer and even cheaper than alternative options before we see a huge transformation in the way current transportation is served. Now as the largest mobility platform in Southeast Asia, AVs and remote driving are something we must lean into. We'll continuously learn about the technical optimization of AV performance on our platform. We'll also maintain a hybrid fleet approach for the foreseeable future and intend to collaborate very closely with regulators across Southeast Asia. Now one of our top priorities as part of this I would say, essential part of this strategy is to work alongside regulators to upscale our driver partners as part of this shift. Our focus is to find the new jobs that will be required as we shift towards a hybrid transport world. We see new kinds of jobs emerging. For example, drivers could be remote safety drivers, data labelers, they could change LiDARs, cameras and so forth. So as we lean into AVs and remote driving with several partnerships already under our belt and more underway, we remain very excited about the longer-term opportunity to build capabilities to operate a word-class hybrid human and autonomous fleet to deliver the best experiences for our customers.
Operator: Your next question comes from the line of Wei Fang with Mizuho Securities.
Wei Fang: I have 1 quick one on the Financial Services segment. We've seen very strong growth there, right, but with sizable bad loan provisions, of course. I was just wondering if management can talk about what you have learned about the newly acquired customers in recent quarters? And how you are fine tuning your risk provisions going forward? That's it.
Alexander Charles Hungate: Thanks, Wei. Let me take that one. You're right. We are accelerating our financial services growth, and we are reaffirming our goal to exceed a $1 billion loan book after excluding credit loss provisions by the end of 2025. You can see in this quarter, there's been an acceleration of loan dispersals. So we're now at a $3.5 billion run rate on an annualized basis, growing 56% year-on-year, so very strong underlying growth. We do see, as you mentioned in your question, an increase in the expected credit losses coming out of the models that we run to make sure that we're providing well for the future growth. It's a natural consequence of that growth. It's an upfront provisioning that occurs in the lending -- accounting of lending. And it's obviously offset against the revenue generation from those loans over their lifetime. So you should expect with this kind of accelerated growth that the ECLs will run through the P&L and sit on the balance sheet as you're seeing in the current quarter. What I would say though is if you look at the underlying performance of the Financial Services business, without taking those provisions into account, then our Financial Services segment adjusted EBITDA improved actually quarter-on-quarter and year-on-year by about $4 million quarter-on-quarter and $17 million year-on-year. That's an important measure for you all to see because it underlies that if we -- if we don't need to pull down all of those provisions, it underlies how we're getting operating leverage out of the growth of the business. You asked what we were learning from the customers. We are, in many ways, a data science company. So we are learning every single second of every single day from how our models ingest all of the different data points that we can generate through our ecosystem. Unlike banks, we can access a lot of unconventional markers of likelihood to repay that allow us to underwrite segments of the population in Southeast Asia that currently cannot access credit. These are often known as underbanked, unbanked. So a lot of what we do is about financial inclusion, bringing people into the market, allowing them to actually establish a credit record. About 1/3 of our customers could not access data because they weren't on a credit bureau -- could not access credit because they weren't on a credit bureau prior to borrowing from Grab and our financial subsidiaries. This is very important to us and very much aligned with our mission. The repayment record actually from those customers is very pleasing. They know that when they repay us, they start to establish a credit record and they start to, therefore, become included in the financial and economic prosperity of Southeast Asia. So we're very pleased to learn more about those customers and to bring them into the financial services domain for the first time. So the credit models -- every time we launch a new product, the credit models obviously take time to be established. But what you're seeing this quarter is that across the banks and GFIN where you're starting to see that we've got credit models maturing. We've got new models being launched all the time. We're increasing the cycle speed with which our data science improves these models. So that's why going into this fourth quarter, if you run the numbers, we're predicting an acceleration of the loan book size. And we also are indicating that, that acceleration will continue into 2026.
Operator: Your next question comes from the line of Mark Mahaney with Evercore ISI.
Mark Stephen Mahaney: Two questions, please. One, on the consumer incentives. Just talk about how we should think about where those will hold going forward. There's been a little bit of volatility, some leverage one quarter, deleverage another quarter. Is it -- are you running them at a level that you think is sustainable going forward? Or do you think we should expect to see leverage against those in the future? And then second, just talk about advertising intensity or what I mean by that is advertising revenue, the ramp that you're seeing. Just a little more color on where that is now? How much -- any new pockets of strength in there and how to think about growth for that particular segment over the next year or 2?
Alexander Charles Hungate: Mark, Alex here. Let me take that. On consumer incentives, you can see it's come down a little bit this quarter. We think that we can keep it at around this level going forward because we're getting a lot of boost from the viral product rollouts that we've been doing. And so we find that the incentive level doesn't have to be as high despite the fact we're accelerating growth for both deliveries and the mobility also staying relatively high and transaction volumes in mobility going up to 30%. That's all been achieved with a reduction in incentives quarter-on-quarter. But I would say for -- in terms of modeling, you can assume that the incentives stay at around this level on the consumer side. In fact, this quarter, we've had to actually boost the driver incentives slightly because the growth in demand was so high. We needed to make sure that we can maintain the fulfillment quality and reliability of our services. So you can see that in contrast, there's a slight increase in driver incentives. So going to the core question, these incentives can go up and down a little bit quarter-to-quarter. But in terms of modeling steady state, I'd say we're about the right levels where we are today. The ads piece. The bigger we get, the more interesting we get for advertisers, whether those be the merchants on the platform or FMCG customers who want to advertise across the platform as well. I think for the food side, we see continued penetration of advertising. So we expect that to continue to move up gradually into next year. We've got total -- the total number of quarterly active advertisers joining our self-serve platform actually increased 15% year-on-year. So we're continuing to see new advertisers coming on to the platform, which is great. Many of them coming in through our self-serve capabilities. And then the average spend of the active advertisers on that self-serve platform grew 41%. So once people try the platform, they see it, it works very well for them in terms of ROAS, and they start to increase their spend. So these are both lead indicators of what we expect, which is a continued increase in the penetration of our deliveries GMV with ads. As we grow the GrabMart business, which we've talked about a lot on this call, we expect to be able to attract more and more FMCG advertisers. And there, if you look at some of the models in other parts of the world, you can see the penetration of advertising for grocery -- online grocery businesses is actually even higher than online food businesses. So that's something that as the scale increases, we should be able to improve as well. So we're very bullish about the advertising part of our business. In fact, I would say it's a key driver of margin growth in the longer run.
Operator: Your next question comes from the line of Divya Gangahar with Morgan Stanley.
Divya Kothiyal: I had two questions. One is actually a continuation of what you just said, Alex, on the advertising being a driver for deliveries. So my question is on deliveries margins path to 4%, could you talk about how different are the margins across countries just qualitatively and the role of some of these countries lifting up the overall portfolio margins. In the past, we've thought that Indonesia has been a drag, but looking at the competitive dynamics there, the margins for delivery seem to be relatively healthy in Indonesia at least for our competitor. So trying to understand how we look at that path to 4% from an advertising country-wise perspective as well as GrabMart and how dilutive that is to margins? So that's my first question. And my second question is on financial services. Now that we're closer to the breakeven year for fintech, could you maybe just share the framework and the milestones we need to hit over the next 6 months to be able to meet the target? And what do you see as the key risks? Also, if you can talk about some typical use cases that you're seeing for this loan book expansion, especially on the digital bank side, that would be helpful.
Alexander Charles Hungate: Thanks, Divya. Yes. In general, the Mart business has a lower margin than the food deliveries at this point. But of course, that's a lot because of the speed of growth. And also because the dynamic with the FMCG advertisers is such that we get more valuable to them, the larger we are. So although we have a lot of interest from efficacy advertisers, I think we're relatively small compared to some other venues still in terms of commerce in general. And therefore, it's important that we continue this growth. And I think that's where you start to see improved margin on the GrabMart side. In terms of Indonesia, I can confirm Indonesia continues to grow strongly again for us. Our deliveries business in Indonesia grew in the high teens in this year-on-year for this past quarter. So although the margin is stable, we're actually able to generate a lot of growth from that situation. And like I was just saying, we feel that it's important to get larger in order to really realize the full opportunity from the Mart business. In other markets, for example, Malaysia, we've already reached our steady state margin target of around 4%, and that's where we're starting to experiment with some of these other models around instant commerce, as I mentioned earlier because there we can generate a lot more growth from entering into these adjacent markets based on the asset configuration that we have with Jaya Grocer doing very, very well in Malaysia, for example. So there are some differences across markets. You're absolutely right. But we're adopting a portfolio approach. So we're making sure we achieve our margin targets not just across different countries, but also across the verticals so that we can produce this kind of high growth but also maintain our margin progression towards those long-term targets that we've shared with you over the past quarters and years. Moving to Financial Services. Yes, we're coming now towards our breakeven year. I can confirm that we are reiterating that we will breakeven overall as a segment in the second half. So it's a combination of banks and GFIN and that the banks will breakeven in the fourth quarter. The milestones really relate to loan disposal growth, which, as you can see, is accelerating now through this annualized run rate of $3.5 billion in this current quarter. We started to see that the credit models are maturing nicely. We now have flexi loan products available for consumers in all 3 of the bank markets. We've just launched also a flexi loan product through our non-bank financial company in the Philippines, just in this last quarter. So we are able also to serve personal loan needs in other parts of the region beyond where we have those three banks using GFIN as the vehicle. We can share expertise about the credit modeling across those countries, which has proven to be very, very successful. As I said, we are really a data science company. So the way in which those models advance is super important to us. You can see that EBITDA can fluctuate as the ECLs flow through the P&L and into the balance sheet. So I think the key thing to watch there is that the segment adjusted EBITDA excluding the credit loss provisions is continuing to improve. So that gives us line of sight and confidence that we're going to hit those breakeven targets. So the key thing for you to watch is the loan dispersal growth. We are seeing operating leverage on the cost base, too. So we're confident that we can continue to manage the cost very tightly going into 2026. In terms of use cases, I think the last part of your question was asking about the different use cases. We are serving on the SME side, we're serving merchants that are on the Grab ecosystem. So we have tremendous line of sight of their cash flows. And therefore, the credit models have a unique advantage relative to a conventional bank that wouldn't have line of sight of those cash flows. So small businesses will be a big focus for us. The unbanked and underbanked as I mentioned, particularly gig workers were able to finance them very, very accurately. And you can see that -- well, I think we've said that the risk-adjusted returns from our lending activities are actually comfortably above our cost of capital, and they remain above that. And even as we grow at these rates, in fact, the returns improved slightly quarter-on-quarter. So we are continuing to grow very rapidly, but at the same time within the risk appetite that we've set for ourselves because of the performance of these credit models. I hope that helps in terms of some scenarios where we can provide unique capabilities to help the progress of Southeast Asia by bringing the -- bringing more and more people into the financial inclusion sphere.
Operator: And your final question comes from the line of Jiong Shao with Barclays.
Jiong Shao: Congrats on a very strong set of results. So first question is really the follow-up on the previous one on the food margins. I think in the last quarter, you talked about Q4 delivery margins should be up sequentially from Q3. I want to confirm that's still the case, but more importantly, looking into 2026, just want to get a better understanding on the sort of the pace of the margin expansion for the food business. And what are some of the factors may kind of make it faster or slower in terms of expanding the margins for the delivery business for '26. And my second question is around another way to monetize the delivery business. I think a couple of quarters ago, you may have talked about some of your thoughts around in-store kind of newer monetization, I recall you might have mentioned something to stop at these trials in '26. I was just wondering if there's any update around that? What may be the sort of the modality around that type of in-store monetization?
Ping Yeow Tan: Jiong, let me take the food margin question that you asked about. The way we approached deliveries is a portfolio play. And Alex kind of alluded also earlier when he answered the question to Divya. So as you know, the portfolio of delivery product is quite broad and quite wide competitive to, say, to our mobility business. So if you look at it, we have the food business, and we have the Mart which is a composite of the grocery business, but also there are some other parts of the non-grocery that we also serve there. We also have other forms of food products that we have, things like group orders. We have also dine out those omni commerce product features that we've also deployed in the marketplace. So it's a real broad portfolio. So the way we think about it is the margins that you'll see in our overall deliveries is better to look at it as an overall deliveries business. It continues to be optimized. Now there will be times from quarter-to-quarter where we will invest and lean in into -- in adopting a product or when there's a product launch, and you've seen that in the previous quarters. But overall, food margin as our core business today continues to see improvement overall, which is exactly what we want to see because it's the most mature is about all deliveries, portfolio of products today. Where we are starting to invest also and also scale is in the area of grocery delivery or Mart deliveries that we've spoken a lot about is still underpenetrated. It's 10% from our overall deliveries business. We also have other products that we're pushing. If you look at our -- the cross-selling that we're doing also across our different footprint and Mart products, also it continues to increase. And we want to see more adoption of those other products that we've introduced from the beginning of this year. So as a strategy overall, it's a portfolio play. You'll see that we'll -- as a mixture of portfolio, those margins will be pretty much on an upward trajectory, but the mix between those margins will change quite a fair bit because again, the way that we're just on strategy in terms of scaling our deliveries business, that growth that you're seeing is a combination of those factors that you see on our portfolio play. At the same time, also as the countries in each of our countries also continue to execute, you'll see also the margin profile of those countries also looks somewhat a little bit also from our portfolio, different from country to country as we put on the gas on certain things, and we pull back on certain things also at the same time. So -- but overall, the trajectory is moving up in the right direction. It's a portfolio that you'll see and the monetization that comes with that also becomes really critical. And that's where Mark asked the question or Divya on advertising also is really important because the advertising piece is a wrapper that goes around our deliveries play, which is really critical. And we're bringing in more and more advertisers on the platform itself. So I hope that gives you a bit of a clarity. We don't do any in-store. We don't have any in-store in terms of offline retail or anything upside except for the Jaya portfolio that we have in the supermarket business. We do have certain gray stores that we use today, which is really important. But in terms of how we work with the offline retailers, especially is in the area of making sure we're bringing in more traffic to our food merchants. So the dine out that we do today brings today the -- all the ingredients for a user to transact from an online Grab app to an offline experience, whether it's through the in-store dining that we serve today, where they're also the reservation system that we're using now on the Grab app also that omni-commerce play becomes really important in terms of monetization, but also making sure our merchants are also continuing to increase their earnings and traffic at the same time.
Operator: That concludes today's question-and-answer session. I will now turn the call back to Peter for closing remarks.
Peter Oey: Well, thanks very much, everyone, for dialing into the call. We always appreciate your time. Anthony, Alex and I would like to express all our appreciation to -- especially through our driver community, all our merchant partners, and also to our users and shareholders for their continued trust on all of us here in Grab. I also want to thank you to all the Grab team for a great quarter. Thank you all. And we're looking forward to closing the year stronger than ever. We'll be on the road together with the IR team, Ken, Doug and I, we'll do our usual hitting the road, bringing the pavements. So we'll be attending various IR conferences across Europe, the U.S. and Hong Kong and Singapore over the next coming weeks. So if you wish to meet up, please just reach out to the IR team. We would love to see you in person. Until then, we'll speak at the next quarter earnings. Thanks, everyone.
Operator: This concludes Grab's Third Quarter 2025 Earnings Conference Call. Thank you for your participation. You may now disconnect.